Operator: Good day, everyone, and welcome to the Affimed Second Quarter 2022 Financial Results and Corporate Update Conference Call. My name is Vanessa, and I will be your operator for today's call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to introduce your host for today's call, Mr. Alex Fudukidis, Head of Investor Relations at Affimed. Sir, you may begin.
Alexander Fudukidis: Thank you, Vanessa, and thank you all for joining us today for our call. Before we begin, I'd like to remind everyone that we issued the relevant press release earlier today, which can be found on the Investor Relations section of our website. On the call today, we have members of our management team, including Adi Hoess, our Chief Executive Officer; Andreas Harstrick, our Chief Medical Officer; Arndt Schottelius, our Chief Scientific Officer; Denise Mueller, our Chief Business Officer; and Angus Smith, our Chief Financial Officer. The team will be available for the Q&A session after the prepared remarks. Before we start, I'd like to remind you that today's presentation contains projections and forward-looking statements regarding future events. These statements represent our beliefs and assumptions only as of the date of this call. Except as required by law, we assume no obligation to update these forward-looking statements publicly or to update the reasons why actual results could differ materially from those anticipated in the forward-looking statements, even if new information becomes available in the future. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially from those expressed or implied in these statements due to various factors, including, but not limited to, those identified under the section entitled Risk Factors in our filings with the SEC and those identified under the section entitled Forward-Looking Statements in the press release that we issued today and filed with the SEC. With that, I'll turn the call over to Adi. Adi?
Adi Hoess: Thank you, Alex. Good day, everyone, and thanks for joining our Second Quarter 2022 Financial Results and Operational Progress Update Call. With Affimed, we have a clear vision and goal to be the leading innate cell engager company and to stop cancer from derailing patients' lives. At AACR this year, we presented groundbreaking data from the combination of AFM13 with NK cells in relapsed/refractory Hodgkin lymphoma patients. Having achieved a 100% objective response rate is particularly impressive given the fact that these patients had undergone a medium number of 7 prior lines of therapy and, in most cases, had exhausted all approved and experimental therapy. Since the data were presented, the study has continued to enroll well, underscoring the high need for novel options for these patients. Now we believe our innate cell engager technology through its bispecific and tetravalent structure with a very high affinity binding to CD16A on natural killer cells and macrophages, without the competition from circulating immunoglobulin, is at the core of these impressive results. The unique attributes of our technology have enabled us to demonstrate meaningful anti-tumor activity for our engager molecules as monotherapy and in combinations, including a strong synergy with PD-1, PD-L1 checkpoint inhibitors and most recently in combination with natural killer cell program. We're indeed very excited about the many upcoming data readouts across the 3-pronged strategy approach. And today, I will summarize our expectations for the remainder of this year. Moving to Slide 4. For AFM13, we show that we have 2 ongoing studies. For the registration-directed study for AFM13 as monotherapy in relapsed and refractory peripheral T-cell lymphoma, also known as REDIRECT. We remain on track to deliver top line data in the fourth quarter, obviously. The study enrolled more than 100 relapsed/refractory PTCL patients, and the focus of the initial data release will be on the overall response rate as assessed by a blinded independent review committee and a preliminary assessment of the duration of this. Just as a reminder, PTCL is a disease with a significant unmet need. There are nearly 1,500 patients just in the U.S. each year representing with relapsed or refractory PTCL. Treatment options are very limited, and the prognosis for these patients remains very poor. The second AFM13 study is the Phase I/II study in collaboration with the MD Anderson Cancer Institute, evaluating co-blood-derived natural killer cells pre-complex with AFM13, followed by single agent AFM13 treatment, again, in patients with relapsed/refractory CD30-positive lymphoma. Data presented at this year's AACR conference by Dr. Yago Nieto, the lead investigator of the trial at MD Anderson, demonstrated that after a second cycle of treatment, the complete response rate at the recommended Phase II dose increased from 38%, as reported in December 2021, to 62%. This was achieved in 13 patients. The overall response rate remains at 100%. And the treatment was determined safe and very well tolerated by patients, which is now allowing MD Anderson to continue to treat patients with up to 4 cycles. Durability of response data presented for patients treated at the recommended Phase II dose was also promising. Of the 8 patients who achieved a complete response, 7 remained in complete response at a median follow-up of 16.5 months, including 2 patients who had remained in response after 10 months and 2 who received a consolidation autologous stem cell transplant. Indeed, enrollment in this study is progressing very well. As of July 31, 30 patients have now been treated, including 24 at the recommended Phase II dose of 1x10^8 cord blood-derived NK cell per kilogram, which represents an additional 11 patients treated at that dose since our latest data update at ACR. Important to note here is that based on the M&D protocols, some patients have now received up to 4 cycles of treatment, and new patients are being enrolled at the recommended Phase II dose. We are expecting that Dr. Nieto will report updated data from the study at a major scientific conference in the fourth quarter of this year. We're also progressing very well with our NK cell strategy to ensure access to an off-the-shelf cryopreserved NK cell for further development with our innate cell engager molecules. And we expect to announce the development path for AFM13 with a specific game pace again in the second half of 2022.  Now let me jump to AFM24. As shown on Slide 5, we continue to enroll patients in all 3 ongoing studies, including the expansion cohort for our monotherapy study and the dose escalation for the combination studies, one with atezolizumab and the other one with the SNK01 autologous NK cell product from NKGen. As we discussed on our last call, we completed the dose escalation part of the monotherapy study and determined and confirmed the 480-milligram weekly dose as our recommended Phase II dose. We're continuing to enroll patients in the expansion phase of the monotherapy at the recommended Phase II dose. The expansion cohort include patients with renal cell carcinoma, non-small cell lung cancer and colorectal cancer. Updates from the monotherapy study, including clinical data from the dose escalation phase, will be presented at ESMO. And a further update with correlative science data is expected to be presented at the scientific conference later this year. We are also continuing to enroll patients in the dose escalation phase of the 2 combination studies. The primary purpose of the dose escalation case of these studies is to establish the safety of the 2 combinations and identify the recommended Phase II dose for the dose expansion phase. In AFM24-102, this is the combination of AFM24 with atezolizumab, we are treating patients with non-small cell lung cancer, gastric cancer and a basket comprising pancreatic hepatocellular and biliary tract cancer. In this study, we have completed the first dose cohort and are enrolling into the second cohort at 480 milligrams, which is the recommended Phase II dose of AFM24. A presentation of such data from this study is expected at the scientific conference in the fourth quarter of this year. Now our second combination study called AFM24-103 is investigating the combination of AFM24 with SNK01, which is an autologous in case pain company called NKGen Biotech. This is investigated in patients with non-small cell lung cancer, squamous cell carcinoma of the head and neck and colorectal cancer. In this study, we are nearing completion of cohort 1, which is treating patients at 160-milligram of AFM24 and a fixed dose of SNK01 and an update is planned based on progress. Moving to AFM28, our third wholly owned innate engager targeting CD123 in patients with AML. As planned, we submitted an IND to the FDA in June. following discussion with the FDA regarding the IND and specifically the design of the dose escalation, we have taken a strategic decision to focus early clinical development of AFM28 outside the U.S. We believe this decision will enable us to conduct the dose escalation and identify the recommended Phase II dose faster. And we now expect to initiate the clinical study in the first half of 2023. We intend to reengage with FDA after data from the dose escalation has been generated. As we've mentioned, AML is one of the worst blood cancers with poor patient prognosis, especially in the relapsed or refractory setting with no standard of care salvage or regime currently available. Given the aggressive nature of the disease and desperate need for viable treatment options, it is a high priority for Affimed to be able to offer this treatment option for such AML patients as quickly as possible. We believe this strategy will help to achieve this goal. Finally, we're also advancing our work with existing partners. In the case of Genentech, we have made good progress in various preclinical programs and handed over several programs to them for further preclinical development. In our partnership with Roivant, AFM32 or called by Roivant ASVT-2101-33, is currently being investigated in IND-enabling studies. We are eligible for additional proceeds from these key collaborations in the near term, including preclinical milestones as well as milestones based on early regulatory achievements. We're continuing to build on our core strengths and competencies to deliver on the goals that we have set for ourselves for the next few months, and we are building the foundation to drive value for shareholders and patients alike for 2022 and beyond. With that, I'm turning over the call to Angus to give you an update on the financials for this quarter. Angus?
Angus Smith: Thank you, Adi. Balance sheet and income statement highlights are shown on Slide 6 and 7 of the presentation. Affimed's consolidated financial statements have been prepared in accordance with IFRS, as issued by the International Accounting Standard Board or IASB. The consolidated financial statements are prepared in euros, which is the company's functional and presentation currency. Therefore, all financial numbers that I will present in this call, unless otherwise noted, will be in euros. As of June 30, 2022, cash and cash equivalents totaled €237.2 million compared to €197.6 million on December 31, 2021. Based on our current operating plan and assumptions, we anticipate that our cash and cash equivalents will support operations into mid-2024. Net cash used in operating activities for the quarter ended June 30, 2022, was €26.5 million compared with €17.3 million for the quarter ended June 30, 2021. Total revenue for the quarter ended June 30, 2022, was €7.3 million compared with €9.7 million for the quarter ended June 30, 2021. Revenue predominantly relates to the Genentech and Roivant collaborations. R&D expense decreased by 4% from €21.8 million in the quarter ended June 30, 2021, to €20.8 million for the quarter ended June 30, 2022. The decrease was primarily due to lower expenses associated with the development of the AFM13 and AFM24 programs, largely a result of the decrease in the procurement of clinical trial material. General and administrative expenses increased 54% from €5.4 million in the quarter ended June 30, 2021, to €8.4 million in the quarter ended June 30, 2022. The increase predominantly relates to higher personnel and share-based payment expenses and an increase in insurance premiums. Net finance income or cost increased from costs of €1.6 million for the quarter ended June 30, 2021, to income of €2.3 million for the quarter ended June 30, 2022. Net finance income or cost is largely due to foreign exchange gains and losses related to assets denominated in U.S. dollars as a result of currency fluctuations between the U.S. dollar and the euro during the year. Net loss for the quarter ended June 30, 2022, was €19.4 million or €0.13 per common share compared with a net loss of €18.8 million or €0.16 per common share for the quarter ended June 30, 2021. The weighted number of common shares outstanding for the quarter ended June 30, 2022, was 147.3 million. Additional information regarding these results is included in the notes of the consolidated financial statements as of June 30, 2022, which will be included in Affimed's filings with the U.S. Securities and Exchange Commission. I will now turn the call back to Adi for closing remarks. Adi?
Adi Hoess: Yes. Thanks a lot, Angus. As we show on Slide 8, we are continuing to advance our key programs forward with a focus on delivering many meaningful updates for our key programs in the second half of this year. Indeed, I'd like to thank you for all your continued support, in particular, patients and their families and for our employees in the U.S. and Europe who are continuing to do the best they can in supporting our efforts to move things forward. We're now open to take questions. Thank you. Operator?
Operator: [Operator Instructions]. We have our first question from Daina Graybosch with SVB Securities.
Daina Graybosch: Maybe two regulatory questions. One, on AFM24, can you talk more about the feedback from FDA, whether it's AML-specific or CD123 or molecule-specific -- their reservations that would lead to the dose escalation being more slow? And then sort of second regulatory question, wondering if you've had a chance to prepare further for a meeting or you can talk about a future meeting with FDA on AFM13 as forward.
Adi Hoess: Yes, Daina, thanks for the questions. I will hand over to Andreas. Andreas?
Andreas Harstrick: Daina, just to be sure, I think your first question was relating to AFM28 and not to 24, right?
Daina Graybosch: I'm sorry, 28, I misspoke.
Andreas Harstrick: Okay. Yes. No, so as we said, we have made some strategic discussion after discussions with FDA. We cannot share a lot of details about these discussions. As you know, they are confidential with regulators. What we can say, though, is that there was no specific concerns about CD123 as a target. And to the second question, as we have stated previously, our intention is to have regulatory interaction. It has a meeting with FDA concerning the next steps forward for a development of AFM13 in combination with NK cells this year, and we are sticking to this guidance. That is our intention.
Daina Graybosch: Okay. So to clarify, you don't -- that meeting hasn't happened and you're not guiding to a specific time frame for that meeting yet, other than probably this year?
Andreas Harstrick: Yes. So it will -- our intention is to have this meeting this year, but we have not guided to a specific time frame, and it obviously has not happened yet.
Operator: We have our next question from Srikripa Devarakonda with Truist Securities.
Unidentified Analyst: This is Alex on for Kripa. A question about third-party NK manufacturing, which is a question we see a lot from investors. Can you talk a little bit about the challenges or considerations that go into finalizing the third-party NK manufacturer? What metrics you're looking at? And also how that might affect different partnerships that you have going on with other NK cell companies?
Adi Hoess: Yes, thanks for this question on the NK cell product. So as we've stated recently, what Affimed has been addressing in a number of manner is to understand the partner's manufacturing and the, let me call it, NK cell quality itself. We have a number of internal assays established that -- where we feel we have -- that allows us to identify the best partners in terms of NK cell products. We have -- in China, we have seen that there is a good number of NK cell products out there that synergize well with an innate cell engager, almost independent of source. So cord blood-derived peripheral, but even iPSC derived in [indiscernible] to no choices with our innate cell engagers.  And what we have been focusing on recently in terms of now moving forward is to be able to entertain a registration-directed study so that required a partner to have a substantial -- have substantially made progress in terms of NK cell manufacturing so that not only the quality will be provided, but also the quantity. We have identified such parties and are in the process of finalizing the business agreement.
Unidentified Analyst: Okay. And one follow-up on the AFM13 monotherapy trial. Can you remind us what's the bar for the monotherapy duration efficacy, how you're thinking about it? And then also remind us about the development strategy after you get the top line data will be out later this year.
Adi Hoess: Yes, I'll hand this over to Andreas. Andreas?
Andreas Harstrick: Yes. So for the efficacy bars, again, we looked at drugs that have received accelerated approval in the PTCL setting. There are 3 drugs which helps this -- the response rate was remarkably similar for all 3 drugs, 27% to 28%. So this gives us a certain guidance about these response rate. Duration of responses in these trials were in the range around 8 months, plus/minus a month, which again is a guidance for us of what we are looking for in terms of duration of responses. And of course, FDA will never give you a concrete number. So I will always state that the review will be a review issue. But I think the consistency of the data with all 3 drugs that have reached accelerated approval provides us with a pretty good guide rail, I would say. And what was your second question?
Unidentified Analyst: It was that next step following the top line data readout later this year with monotherapy.
Andreas Harstrick: The next steps, of course, we -- as we said, we will provide top line data from the study. And then, of course, the next step is to enter into interactions with regulatory agencies, primarily with the FDA, to discuss the next steps. As we said, our intention is -- so this study should be registrational directed. And so we will have discussions with the regulators about that.
Unidentified Analyst: All right. Congrats on the progress.
Operator: We have our next question from Maury Raycroft with Jefferies.
Maurice Raycroft: I was going to ask one on a manufacturing partner for AFM13 combo as well. Is this something that you need to have in hand or figured out when you meet with FDA later this year to discuss the combo? And what sort of evidence would you need to bring to the FDA with regard to this potential NK cell combo partner in order to move directly into a registrational study?
Adi Hoess: Yes. so we have -- thanks, Maury, for this question. And obviously, we can appreciate that there are a lot of questions out there that need to be evaluated and then discussed. We have taken the position here is that we have gained a substantial amount of know-how through our own work and also through what partners do. And the know-how we have is what we're consolidating now to move forward and discuss as a composite with FDA. So we're then expecting their feedback and the details. At the moment, what we can say is that we have, in our minds, identified a partner that control all this requirement. Unfortunately, I cannot go into any further detail along this as obviously the meeting with FDA, which we're already in preparing and advanced in preparation, but that will then give us the resolution that we can share with you later on.
Maurice Raycroft: Got it. That's helpful. And so it sounds like you have identified a partner then. Is that fair? Just to clarify or...
Adi Hoess: Well, again, without going into detail, there is -- as we said, we're in the execution of the business agreement. So that principle is confirming that we have identified. If some partner -- multiple partners, whoever it is, that remains to be discussed at the time when we're finished with it. But yes, we have seen in the field that there are companies out there that can fulfill the requirements that I just mentioned.
Maurice Raycroft: Got it. Okay. Makes sense. And I also wanted to ask a question on AFM24. So we see that you're going to have a poster at ESMO. Just wanted to clarify on that one, whether you could potentially include some expansion monotherapy data in that poster? Or if you can talk more about what that update is going to be?
Adi Hoess: Andreas, can you take this question?
Andreas Harstrick: Yes. As we -- or as Adi has said, I think, during the presentation, the ESMO poster will mainly focus on the additional data from the dose escalation part, so the 720-milligram cohort, which is now in a sufficient degree of follow-up. And then data from the expansion cohorts will be released as they become available, but ESMO will mainly focus on the dose escalation part.
Maurice Raycroft: Got it. Okay. And then for the I/O combo update in the fourth quarter, can you talk about how much data we could see for that update?
Andreas Harstrick: Again, it's an ongoing study. As Adi said, the atezolizumab study, we have completed the dose escalation part 1 without DLTs. We are actively recruiting at 480 milligrams and we'll be able, if we confirm that this is also in combination, the recommended Phase II dose. We will be able then to open the expansion cohorts. So this is the data set that we will have most likely towards the end of the year, mainly from the dose escalation part.
Operator: Our next quest from Li Watsek with Cantor.
Li Watsek: I guess, first, just on AFM13 within the combo, I guess, for the data that you're going to present later this year, I guess, what are you looking to learn from that data set? And it seems like you have 24 patients at the RP2D dose, and patients can receive up to 4 cycles. So maybe just talk about what will be the focus for investors there.
Andreas Harstrick: Well, I mean I can take this question. Again, so as we said, we will have much more patients. And of course, we will also report on the patients that were part of the AACR disclosure earlier this year. Now all these patients will have a significantly longer follow-ups. I think for the first, let's say, 12 patients or so, we will have a really long follow-up, which I think will allow a significantly better estimate of duration of responses, in addition to, of course, response data from the newly recruited patients. The other thing, and I know there's always a lot of discussion about doing multiple lymphodepletions, as Adi said, we have patients who have now received 3 and 4 cycles. So there will also be a safety update on multiple lymphodepletions and the feasibility of this approach, which we think is a quite feasible approach.
Li Watsek: Okay. Got it. And then just one question on AFM24, the combination with atezo and since you completed, I guess, the first cohort at 160 mgs. So I wonder if you can just comment a little bit on the safety side? And have you observed anything unexpected there? And also, can you remind us what was the sort of therapeutic range in a combination study?
Andreas Harstrick: So as we said, we have completed the 160-milligram cohort with a standard dose of atezo. We did not see a dose-limiting toxicity, which allowed us to escalate up to the 480 milligrams. And as we said, we will provide a much more granular data update towards the end of the year, which will include all of the safety profile.
Li Watsek: Okay. I guess just last one on AFM28. So in terms of the Phase I study, can you just sort of discuss the design of the dose escalation? And then can you just walk us to the time line here and when we might see the data from the dose escalation portion and what would be the plan, I guess, after the Phase I?
Andreas Harstrick: So we made the strategic decision to focus initially on areas outside of the U.S. As we have guided in our document, we expect that patient enrollment will start first half of next year, first half of 2023. And as you know, for dose escalation studies, it's always difficult to predict. It is a dose escalation study that aims to identify as recommended of Phase II dose and see -- or pharmacodynamically active dose and then as soon as possible. And beyond that, our intention is to look at AFM28 as a monotherapy for patients with refractory AML, but also to combine with allogeneic NK cells as soon as possible. So this will be a two-pronged approach for the AML treatment.
Operator: We have our next question from Bradley Canino with Stifel.
Bijan Mekoba: This is Bijan on for Brad Canino. For the upcoming FDA meeting on the AFM13 NK cell combo, what are some of the key points you intend to communicate with the agency? And are there other steps that need to be finalized prior to a pivotal trial start?
Adi Hoess: Andreas, do you want to take that?
Andreas Harstrick: Yes, I can start, and then you can also chime in if needed. So as we have seen this unprecedented activity of NK cells in combination with AFM13, especially in Hodgkin lymphoma patients, our intention is to bring this treatment to patients and make it broadly available as soon as possible. So our focus in discussions with the FDA will really be to align or agree on a development path that ideally would enable the most expedited or the fastest approval of an NK cell AFM13 combination.  So which kind of trial would lead there? And what the FDA expectations would be? We believe, given the very high activity and the unmet medical need of these refractory patients, there should be a development path using the accelerated approval process. But this will be some of the questions that we will address with the FDA.
Bijan Mekoba: Okay. Perfect. And are there other steps that need to be finalized prior to the pivotal trial start like manufacturing, et cetera?
Adi Hoess: Well, in terms of manufacturing, I think we have outlined this through the earlier questions that we have been able to accumulate a lot of know-how within Affimed in understanding what we believe the requirements are for manufacturing. And we have identified companies that can provide satisfying answers. And as soon as we are ready to disclose likely when we are either behind the meeting, we can then provide the granularity. So it remains at the moment -- let me put it this way, the question to be addressed, nevertheless, we have -- we are basically learning in the past months and quarters that there is substantial quality in terms of NK cell manufacturing available. And we've been testing the cells or engagement and generate confidence. We've released all the preclinical data already in past conferences or presentations that show that there is substantial activity with [indiscernible] . We can freeze the cells when loaded with AFM13. And then after sawing, they are active. So there is a good part of work that we had to invest in order to make sure that the NK cells display the respective activity. In addition, we have learned from clinical data presented by others that there are different NK cells that seem to produce very similar clinical efficacy, in particular, in non-Hodgkin lymphoma, either CART19 or cells combined with rituximab. So there is a lot of additional information in the mean time available that hasn't been available a year ago and just accumulated in the past months. So that's how we have been basically learning and creating confidence on our part so that it is now the right time to bring the partner and Affimed together and move forward with a discussion at the meeting with FDA. That's currently prepared, as we said.
Operator: We have our next question from Yale Jen with Laidlaw & Company.
Yale Jen: First, from the AFM13 and NK combos, for the 24 patients so far you've treated, could you give us a breakdown in terms of the tumor types at this moment?
Adi Hoess: Andreas?
Andreas Harstrick: Yes. So the majority is still Hodgkin's lymphoma. We cannot give detailed numbers as this will be part of the disclosure. But as you have seen the initial 11 patients who are already Hodgkins. But we are actively also recruiting non-Hodgkin lymphoma patients now.
Yale Jen: Okay. Great. That's very helpful. And one more question here is to follow the previous one. But in terms of the monotherapy 13 and monotherapy and the U.S. say what the bar of efficacy and the DOR will be? And what could be the minimum performance, in your opinion, that will provide a greater commercial viability?
Adi Hoess: Andreas, do you want to speculate on this?
Andreas Harstrick: No, I mean I only can reiterate what I said. In terms of regulatory, we have a couple of precedences with response rates in the high 20%, 27%, 28%, duration of responses around the 8 months. So this is our, I would say, internal benchmark, and then we will have discussions with FDA. I definitely cannot comment on any commercial aspects. What we know, though, is that this is a patient population of very high unmet medical needs. Treatment options are very, very limited. So I think it would offer a treatment option for patients who basically are threatened by death immediately.
Operator: We have our next question from Zhiqiang Shu with Berenberg.
Zhiqiang Shu: I wanted to ask about the 11 additional patients that have been treated in the NK sort of combo post AACR. I wonder if you are willing to provide a bit of detail in terms of efficacy and safety there. Also including this one particular patient, I guess first patient receiving 4 cycles, I wonder if you are willing to provide a bit of more granularity around these progression and responses here.
Adi Hoess: Yes. I will hand over to Andreas in a minute, but obviously, we remain very excited and are obviously very positively not surprised, but very positive about this good number of recruitment that we were seeing here. So you can also go into social media where people are reporting about their experiences with this therapy. So there is -- since ACO, there has been clearly a good amount of information that was spread so that patients have been brought on to such therapy. As we've said, we have now 11 additional patients that were recruited and treated as of end of July. So this, in our minds, indicate how high of a demand we really are seeing for this patient population. Obviously, regarding reporting data, we've been very focused on basically following the rules by the respective organizers in order to secure a prominent presentation slot. Andreas?
Andreas Harstrick: Yes. I cannot add significantly more. As we said, we were expecting to have an update of the data in collaboration with our investigators from MD Anderson at a major scientific meeting towards the end of the year. So before that meeting, we cannot give any more detailed data on the new patients or on the ongoing patients beyond what we have already disclosed in our remarks.
Zhiqiang Shu: Okay. And maybe just a follow-up on your business development strategy. Can you talk about some of the thoughts there given you have quite a differentiated platform? Are you still looking to extend some of the partnerships in the near future? And what are the potential measure there?
Adi Hoess: Yes. At this moment, I do not want to comment specifically on business development. We've been -- so foremost, we've been focusing, obviously, on the execution of our 3 programs. That's where we've really invested a lot, most emphasis we have and we've said we've been and are receiving continuous inbound request or valuing this against what we want to achieve on ourselves before we enter partnerships. So these are ongoing dialogues, and we have -- we pay attention to this. At the same time, in particular with 13 and 24, we've been progressing in the clinic to now be able to present update in the second half, but also continuously. So we're generating value by progressing the programs. We have -- we're well funded, indeed, so we can proceed with the strategy until we may decide to have identified an appropriate partner. But it remains -- at the moment, I want to remain here very vague, although I should mention that there is a good number of interest in partnering up with Affimed on some of the specific programs and our earlier pipeline.
Operator: That concludes our first round of questions. [Operator Instructions]. And I see we have no further questions. At this time, I would like to thank everyone for your participation in the call today. This concludes our conference, and you may now disconnect.